William Elliot: Everyone, and thanks for joining us to discuss CAR Group's H1 FY '26 results. Over the next 30 minutes, I'll provide a brief summary of our half year results and our strategic progress, and this will be followed by a Q&A session, where I'll be joined by members of our leadership team. Joining me today in Melbourne is Rachel Scully, our EGM of Investor Relations; and dialed in, we also have Craig Fraser, the MD of carsales in Australia; SB Kim, the CEO of Encar in South Korea; David McMinn, the CEO of Trader Interactive in the United States; and Eduardo Jurcevic, the CEO of Webmotors in Brazil. So we'll start with Slide 5, which demonstrates the continued strength of CAR Group. We've delivered a great result and extended our track record of growth. On a constant currency basis, we delivered 13% growth in revenue, 12% growth in EBITDA with EBITDA margins remaining strong at 54%. Adjusted net profit after tax increased by 12% in constant currency, and these results reflect the high quality of our earnings as well as our disciplined approach to scaling the business. Our long-term financial performance underscores the effectiveness of our strategy, a reflection of our commitment to making vehicle transactions faster, simpler and more seamless for our customers. What this trend also demonstrates is the resilience of our business model. And by diversifying across geographies, products and verticals, we've built a business that's capable of delivering consistent growth regardless of the macro conditions. Turning to our operational highlights, the core of our business is consumer engagement. And all these metrics, as you can see, are exceptionally strong. We've got healthy levels of inventory with 2.4 million vehicles online. Our dealer base has grown nicely, which proves that our value proposition is resonating with our customer base. And most importantly, our audience metrics are very strong with unique audience, sessions and leads all up strongly on pcp. And whilst the growth was led by Australia, Brazil and South Korea, we've seen a notable improvement in the U.S. market, which is now showing positive momentum against the prior year. Turning to Slide 8, which underscores the strength and diversity of our retail brands. And our strategy, as many of you will know, is to identify and invest in large high-growth markets where our proprietary technology and IP deliver long-term sustainable value for shareholders. And the returns from our International portfolio to date has been incredibly strong, and we continue to see significant runway to grow in all of our regions and all segments of our portfolio. Our brands remain the primary destination for buyers and sellers in every market we serve. We've got very strong market leadership positions in each market, and the leadership is underpinned by our commitment to product innovation as well as strong local relevance. And importantly, we're driving excellent growth in unique audiences across every region, which you can see here. This reflects the ongoing success of our investment in customer experience and also marketing, and it drives higher value for our sellers, and it also solidifies our market-leading positions. And most importantly, it's great to see the U.S. with double-digit growth. On to our outlook slide. Based on the strong momentum we've seen in the first half, our full-year guidance remains unchanged. Our diversified portfolio and disciplined execution give us a very high degree of confidence in delivering against our FY '26 expectations. And as a reminder, for the full year, we expect to deliver pro forma revenue growth of between 12% and 14%, pro forma EBITDA growth of 10% to 13%, adjusted NPAT growth of 9% to 13%. And all these figures are in constant currency. The outlook is testament to the strength of our global strategy and the operational momentum we've got across every segment. Our strategy is focused on three core pillars: strengthening our core marketplaces through continuing reinvestment, extending our platforms with new products and high-value experiences, and diversifying through innovation and disciplined investment. What makes this possible is operational excellence. And by leveraging advanced technologies, particularly AI, we're lifting performance across the group. We are driving efficiencies that enable us to invest in new growth opportunities whilst also sustaining high margins. And ultimately, it's our culture that ensures this execution. We've recently launched our new global AI hub, CG/lab, which is based in Brazil, where there is a strong pipeline of amazing AI talent, including some existing people working in our Brazilian business. CG/lab is building shared core agentic AI capabilities once and then deploying them across our marketplaces, which is going to enable speed, efficiency and economy of scales across all of our businesses. The key areas of focus for CG/lab will be developing end-to-end buyer and seller agents and integrating our experiences into generative platforms. Importantly, CG/lab won't result in incremental investment for the group. We're innovating within our current investment levels, and this is supported by the efficiencies across the business that we're getting using AI, particularly in the software development. Our AI strategy is built on three unmatched advantages. First is our clear #1 brand that customers rely on in increasing numbers. Second is the unique data at scale; and third, the integrations that we have across the entire ecosystem, including with dealers and OEMs. This combination of trust, data and reach allows us to deploy AI in ways that others cannot replicate. And we're already seeing a direct uplift in engagement, conversion and transaction confidence as a result of this. Buyers are finding cars faster through conversational search. Dealers are sourcing vehicles more effectively and creating higher-quality listings. And importantly, we're delivering incremental revenue from AI. We see this today through the adoption of premium dealer tools and increase in high-quality leads and also higher inspection volumes. We also see a significant revenue growth opportunity going forward as we continue to rapidly scale these AI capabilities. A fundamental driver of our competitive advantage is the infrastructure we've built beneath our marketplaces. Over many years, we've developed very deep integrations with CRMs, dealer management systems, finance providers and a whole heap of other critical platforms in the vehicle industry. And this creates a technical ecosystem that is unique to our marketplaces and incredibly difficult to replicate. Three recent strategic acquisitions represent a natural extension of our strategy here. We've acquired ERP systems that power dealership operations in Brazil and South Korea as well as a specialized CRM business in the verticals we operate in the United States. By bringing these platforms into our portfolio, we're able to provide even more value to our dealer partners. They give them the operational capabilities and market insights they need to run their businesses more effectively. And critically, these deeper integrations also give us richer data on inventory pricing and vehicle history for our consumers. Overall, this ecosystem for dealers enables us to provide unique market insights on pricing trends, inventory velocity, buyer behavior that no individual dealer could access on their own, and it helps them to make smarter decisions about what to stock, how to price and when to act. And for consumers, the connected ecosystem translates into a better experience as they benefit from things like real-time inventory accuracy, personalized recommendations, transparent transaction pricing, instant financing decisions, seamless trade-ins, vehicle inspections and the confidence that comes from transacting on a platform that they trust on and rely on every day. We're transforming how customers discover vehicles on our platform. In Australia, on carsales, we've released conversational voice-based search to 100% of our iOS audience, with Android to follow shortly. And this makes finding the right car more intuitive and natural. Customers can now search similar to the way they think and talk rather than filtering through rigid category structures. This is just the beginning in terms of our use of voice-based conversational search, and we see it as a significant opportunity to improve the customer experience going forward. In resilient Webmotors, we've gone even further with a fully AI-driven search experience rather than structured search on [indiscernible]. And the early results indicate that buyers are twice as likely to submit a lead if they use this advanced AI search capability, which is a significant improvement. We're also integrating with LLM environments like ChatGPT to ensure we're present wherever customers do their research, just as we've been doing with traditional search engines for many years. AI is also strengthening our dealer value proposition across our entire portfolio. It's making their operations more efficient and their inventory more compelling. In Australia, we've embedded AI dealer insights directly into [ AutoGate ], our dealer management platform. And it's providing intelligent sourcing recommendations, real-time pricing insights as well as AI determined premium ad placements. And this helps dealers make smarter inventory choices with less effort. In Korea, Encar is using AI in a transformational way with regard to its Guarantee inspection product. We've cut inspection times in half from 30 minutes down to 15 minutes whilst also improving the accuracy of the product. And at Trader Interactive, we've launched AI merchandising tools that help dealers create stronger listings with less effort. We've got the auto stock picker, AI-generated descriptions as well as image enhancements. These capabilities are all deepening our integrations with dealers and reinforce the value we're delivering to them across their entire workflow. Smart inquiry qualification has been rolled out across all of our platforms and is delivering material results on both sides of the marketplace for buyers and sellers. For buyers, we provide always-on 24/7 support that answers questions instantly and also accelerates the path to dealer. On Encar, our AI home agent has supported a 55% increase in completed transactions, which is amazing. And for dealers, it's about high-quality leads. The AI serves high-intent conversations and qualifies buyers before dealers engage. On Webmotors, lead nurturing automatically warms up early inquiries, and dealers are seeing 4x more buyer engagement as a result. Moving now on to some country-specific highlights. Starting with Australia, we're seeing really strong traction on two key initiatives that deepen our market position. C2C payments has now processed $268 million worth of transactions since launch. Importantly, it's taking away friction in the private seller process, which is going to unlock future growth opportunities. And this is evidenced through buyers using C2C payments, having a 2.5x higher Net Promoter Score than those who don't. And then on the dealer side, we've modernized [ AutoGate ], which I mentioned a little bit about before. And so dealers are getting AI-powered time to sell insights AI call transcriptions, AI systems for our live market auction platform and automated opportunity identification, and it's making [ AutoGate ] even more of a central tool for dealer hub operations. Two more Australian highlights that underscore our market strength. Instant Offer continues to perform very strongly, which has been driven by spending more on brand awareness and driving better pricing. The launch of trade-in extends Instant Offer even furthering by capturing sellers at the moment they're buying their next vehicle, which broadens our addressable market. And then on media, our revenue from new OEM entrants is up 29%, which is very important given the dynamics in the Australian market, and it provides us with a much more diversified advertiser base. As you can see from the financial performance in North America, we're seeing excellent momentum. On dealer products, we've just rolled out a tiered packaging offering of Core, Pro and Ultimate. And that deepens our integration with dealers and creates clear upgrade path. The new products span things like listing badges, vehicle history reports, AI merchandising. We've got pricing insights, finance integrations and lead nurturing. And the repackaging has resulted in a circa 6% to 7% uplift in dealer yield, which is really impressive. On media, the growth we are achieving is also very impressive. Direct media revenue up 49%. And Xenara, our in-house agency, also performing very well. It's grown its customer base by 300%. And we're now landing major new accounts like BRP, one of the world's largest powersports OEMs; and Winnebago, the leading outdoor recreation manufacturer. Three more North American opportunities, which are showing great traction. As you know, the marine market represents a significant opportunity. It's a $1 billion addressable market, and Boatmart is gaining momentum. Average lead per dealer up 110% and site visits are up 30%. Our data business, SSI is continuing to accelerate. Great to see revenue growth jumping from 10% to 18% as dealers are increasingly relying on our market share insights to benchmark their performance across different segments and geographies. And then we've also launched our private concierge product, which expands private seller options in RVs and marines. It offers end-to-end support for sellers who want premium service and maximize return, complementing our existing self-serve listings and cash offer products. In Latin America, Webmotors is strengthening its market lead. National expansion beyond Sao Paulo and Rio is really working. We've got 4.4x the traffic of our nearest competitor, which is great to see. Our wallet loyalty program is also scaling very rapidly, and it's now used by over 10,600 dealers, and that's our key partnership with Santander. Wallet revenue is up 51%, and this deepens dealer engagement by embedding financial services directly into their workflow. Two more Latin American highlights to talk to. Our depth products, Feiroes and Acelerador, are also performing very well. Feiroes is up 151%, and Acelerador is up 61%. This surge in premium product adoption demonstrates the value that dealers are getting from our upgraded offerings. and also reflects Webmotors' amazing market leadership. On media, great to see the progress we're making in what is a massive $1.5 billion addressable media market opportunity. OEM revenue is up by 19%. We're also seeing really good adoption of some of the products that we've been able to take out of Australia and put into Brazil, things like sponsored cards, OEM showrooms, preorder campaigns and direct CRM integrations. In Korea, Guarantee inspections are continuing to scale rapidly. That's our flagship product in Korea, and we're driving great value for both consumers and also dealers. We've tripled our inspection center footprint. It's gone from 22 branches in FY '17 to 66 today, and we've got plans to take that to more than 90. Importantly, the launch of our Guarantee++ product adds more comprehensive inspections. And it's a premium tier, which creates substantial revenue upside moving forward. We're also using AI to really improve our inspection efficiency, which we mentioned earlier. Inspection times have been reduced by 50% while maintaining or improving quality. And this product really does position Encar as the trusted leader in Korea's used car market. Two more Korea highlights to call out. Dealer Direct is delivering exceptional growth, our online trading platform. Meet-Go transactions are up 102%, driven by increased marketing and also improved product discovery. Encar Home, our fully digital car buying platform, is also surging. We've got over 46,000 cars now listed for Encar Home, and that's up 16%. And even more impressive is completed transactions up 50%, which as we mentioned before, is being driven by the 24/7 AI agent that we've integrated into the service. On to financials now, the P&L summary. And before we dive into segment performance, we'll just go through the items below EBITDA. Net finance decrease, reflecting stable debt and lower interest rates. The effective tax rate of 20.5% is marginally higher due to the expiry of Trader Interactive tax losses and the noncontrolling interest increased as Webmotors' strong profit growth flows through to our minority share -- shareholder in Santander. This performance across the board enabled us to declare an interim dividend of $0.425 per share, which is up 10% on pcp and represents an 82% payout ratio. Our adjusted results exclude noncash amortization of intangibles and one-off costs from exiting the Australian tire business, and there's a full reconciliation in the appendix. Then on to the segment summary. We've delivered exceptional performance across all of our segments, revenue and earnings growth in every market. Latin America led this at 23% revenue growth. North America, a great outcome, delivered 13% revenue growth. Asia was up 17%, and Australia delivered solid growth at 8%. And this broad-based strength in revenue growth demonstrates the resilience of our global portfolio. On to Australia, which delivered 8% growth in both revenue and EBITDA. The automotive market in Australia remains very robust. Consumer intent is still firmly skewed towards used cars at 59%, and that supported our strong used car lead volume outcome for the half. Used car prices have stabilized now at 39% above pre-COVID levels, which has enabled dealers to maintain a very healthy and strong gross margins. Revenue growth in the Australian business was broad-based. Dealer was up 10% and that was mainly driven by lead volumes and depth product uptake. Private up 5%, which was driven by our Instant Offer product growth. Media, great to see that up double digit, up 10%, which is driven by advertiser and product diversification as well as a robust new car market. And then Data and Research was also up 6%, which was largely through new customer acquisition in our Redbook business. Really pleased with the North American performance. Revenue up 13% and EBITDA up 11%, great performance. From a market perspective, RV registrations stabilized and are now growing again, which is really pleasing. Powersports market returned to growth after a pretty soft market over the last couple of years, and trucks remained strong with 4% growth in registrations. The revenue growth in America was also broad-based. The key drivers in our dealer business were premium product uptake and yield improvements. We also had very strong growth in our media business, which was supported by CAR Group's advertising technology, contributions also from the marine business, our recent acquisitions as well as private value-based pricing. And this demonstrates the diversity of our model in the U.S. On to Latin America. Another outstanding half, revenue up 23% and EBITDA up 29% in constant currency. Brazilian auto market was very strong with 8.7 million vehicles transacted, which was up 13%, and this is despite interest rates still remaining elevated, and it demonstrates the structural strength of the Brazilian market and also our significant growth runway. Growth was driven by multiple factors. National expansion is clearly a major factor, and we're adding dealers and more audience as that continues to scale. The premium products are delivering great outcomes, wallet loyalty programs also driving higher revenue. And finance is great to see that up 20%, and that's driven by improved credit access and better loan processes. And our Chile business also had a great first half. Asia delivered very strong performance with revenue up 17% and EBITDA up 13%. Growth was driven by our key strategic initiatives. Guarantee now accounts for 60% of new listings, which is really impressive. And that growth in guarantee has been supported by our expanded inspection centers as well as the AI-driven efficiency gains we mentioned earlier. Encar Home transactions up 55%. And great to see our Dealer Direct product returning to growth, which is scaling rapidly due to the strong uptake of our Meet-Go product there to Dealer Direct. On to EBITDA margins. Margins remained strong at 54%, while we're continuing to invest for growth. Australia's margins were strong at 65%. Latin American margins were up to 38%, which is great to see driven by operating leverage from the amazing revenue growth we're getting there. North America saw a modest decline to 59% as we invest in our marine expansion. And then Asia declined slightly to 44% as we open new guarantee branches and also scale our Dealer Direct product. This margin performance demonstrates our ability to drive growth whilst also maintaining excellent profitability. Balance sheet and cash flow was strong again. We converted 95% of EBITDA to operating cash, reflecting the great working capital profile of marketplace businesses. Leverage is prudent at 1.8x net debt to EBITDA, which gives us great financial flexibility. CapEx held steady at 10% of revenue. AI is delivering meaningful cost efficiency for us in terms of software development, and we're building features faster and with less engineering resource. And we see that efficiency only increasing as we continue to optimize our AI-assisted development workflows. And right now, we're reinvesting those savings that we're getting back into accelerating our AI road map. And that's the right trade-off at this stage because of the direct return on investment and revenue returns that we're getting. But over time, there's optionality as to how we deploy these savings. On to Slide 37, which provides context supporting the outlook statement and nothing has changed here since August, so I won't talk to this slide. And then just to wrap up, it's been really excellent performance in the first half for CAR Group. We've delivered 13% revenue growth, and we're on track for our fifth consecutive year of double-digit growth, which is excellent. Earnings momentum remains strong as we invest in Marine, Scale Dealer Direct in South Korea. North America, great to see the growth there, demonstrated the strength of our portfolio with robust growth across multiple verticals. Our AI development, as you can see, is really developing rapidly. We're enhancing customer experience across all our platforms while also creating operational efficiencies, which is improving speed, accuracy and scalability across our platforms. We've reaffirmed our FY '26 outlook, which reflects the confidence we've got in our strategy and the momentum across the business as we begin H2. We're executing really well. We're investing for the future, and we're delivering strong returns for shareholders. Happy now to hand over to questions on the line.
Operator: [Operator Instructions] Your first question today comes from Eric Choi with Barrenjoey.
Eric Choi: Just first question, just on TI, I was wondering if it's on a potentially improving revenue trend now. It delivered 13% growth first half. But in the second half, pricing packages will be on 1 Jan versus your changes in April last year. And then you mentioned you won that Winnebago contract in media, and it looks like Marine is going to keep ramping. So my first question is, are there potentially more drivers of growth in second half '26 additional to what was in the first half for TI? Sorry, do you want the other questions as well?
William Elliot: Yes, why don't we take them one at a time, Eric. I'm happy to take that one first. I mean, clearly, revenue growth has picked up in the U.S. in the first half, which is great to see. And David and the team are doing an excellent job. And the drivers you mentioned are correct in terms of all the things that have led to an increased result. Second half, we would expect all other things being equal, the upside to the first half would be that we did the price rise a little bit earlier, which should give us a little bit of incremental value. The only other thing I'd call out is that as we head into the high season for rec and particularly in marine and then in our other verticals in RVs and powersports, we will be investing in marketing. So yes, I just wanted to make sure that made that comment. Hopefully, that helps.
Eric Choi: The second question. Great stuff on all the AI that you put in the presentation, super helpful. Can I just hone in on Slide 38, which says there's no incremental investment in AI required? Can we just clarify what that investment is today in dollar or people terms? And does that new statement still mean you can grow net AI spend in line with your group cost growth, which is kind of tracking at 10% plus?
William Elliot: Yes. So I think very difficult to specifically isolate our total investment in AI. What I will say is that -- you can see our software development spend that gets capitalized was $60 million for the half. So that's on an annualized basis, there's $120 million of investment. And a growing proportion of that investment is going into AI. And that doesn't include probably close to double that spend that sits within the P&L. And so we're increasingly focused on using AI to enhance consumer experience. But the beauty is that we're delivering efficiencies, particularly in software development and customer service, which is helping to fund that growth. And so overall, we don't expect CapEx as a percentage of revenue to change as a result of this increasing investment in AI because we're funding it through efficiencies.
Eric Choi: Good stuff. Can I fit in -- sorry, Will, just you're probably sick of this question, but just wanted to confirm, macro isn't having a material impact on your volume. So maybe if you can tell us what lead volumes were up for Australian dealer and maybe confirm that TI dealer counts must have been flat. And I guess, can we infer giving your full-year guidance is pretty much in line with first half performance, but you're seeing similar volume trends into the second half?
William Elliot: Yes. No, I think that's a fair comment. The business historically has performed well in different macro cycles, and this half was no exception. And so we're continuing to deliver great performance regardless of the interest rate cycles. And great to see Trader Interactive pick up in the first half. That's probably the one that is more exposed to consumer sentiment and interest rates. But overall, I think the business has shown its resilience over a long period of time. In terms of lead contribution in Australia, that was about 4%, circa of the 10% growth we delivered in the first half was from leads.
Operator: The next question comes from Entcho Raykovski with E&P.
Entcho Raykovski: So if I can -- I mean, I can just start out as a follow-up on the AI spend question. I mean, a lot of focus on this in the market. And you said it's difficult to split out, but I wonder if you can provide an indication of the spend you're committing to the AI hub specifically. And then, how that's accounted for between regions? Like does it all sit in Brazil? Or are you sort of apportioning between regions? And you touched on this in the preso, but sort of how do you think about the timing of monetization of the products you're developing? A long question, but that's my first one.
William Elliot: Thanks, Entcho. That's a good question. So the CG Hub, we're really excited about that there because it's one of the benefits we get being a larger group and being able to get efficiencies and economies of scale. And the talent, as many of you will know, in Brazil is outstanding and just the pool of talent is so large that it makes sense for it to be there. And obviously, given now that 50% plus of our revenue comes from the Americas, it's a great location for it to be based. So that's the first thing I just want to say about the hub. In terms of investment, we'll start with about 30 people in its early days, and that will certainly grow over time. The cost allocation, I think, will be done just a portion based on most likely revenue across the group, I would say, will be the way that we do it. So it's delivering services to the whole group. And I think the other thing worth noting is that to start with is going to a fraction of the overall investment that we're making in AI because we do have specific teams focused on AI in every single jurisdiction. And also, it's everyone's job. And so the investment that we're making overall is a lot bigger than that.
Entcho Raykovski: Okay. Great. And then, I mean, it's sort of a related question, but what have you seen in terms of the lead nurturing initiative in Brazil? I wonder if you can give us any numbers on what sort of conversion you see from a lead, which is qualified versus nonqualified. How can you monetize this? Can you actually charge more for those leads? And just as a broader question, which I'm sure you're thinking about with the lead-based model, does it create a bit of a challenge if you're generating fewer leads, but they're perhaps better qualified leads?
William Elliot: No worries. I'll hand over to Eduardo to answer that question on lead nurturing.
Eduardo Jurcevic: Yes, for sure. Thanks for the question. I would like to say two things in terms of data. One is that the conversion is almost a double, which is very good. And also that the dealers that is using our CRM with the integration with AI, which is the premium version, they are receiving 20% more leads than others that they are not using. So it's very helpful what we are doing in terms of leads, in terms of volume of leads to. I know that could -- you think that you're going to decrease the number of leads with more quality, but we are not seeing this. Of course, we have also the national expansion helping to bring more audience and leads, but we are increasing the number of leads too. So it's a very good combination so far in terms of the results, what we are seeing with AI integrated with our platform.
Entcho Raykovski: Okay. Great. Just a final -- maybe a very quick one. The ChatGPT integration in Australia and Brazil, are you able to provide any more detail just around the structure of any agreements with OpenAI to launch the integration?
William Elliot: Yes. Thanks, Entcho. I think the philosophy just around the integration, and it will be the same philosophy with anyone who's providing research options at the top of the funnel is to connect where the audience is. Most of our traffic, the vast majority of our traffic comes directly to our sites. But like we have done with traditional search engines over time, we have our brands in those search engines to connect with audience where appropriate. And that strategy is no different with ChatGPT. Obviously, they're getting the majority of the traffic from an LLM perspective at the moment. So we're prioritizing our integration with them. There's nothing exclusive with them, is the way I'd describe it.
Operator: Your next question comes from Roger Samuel with Jefferies.
Roger Samuel: My first question is just on your guidance, which is provided on a constant currency basis, obviously. But with the depreciation of the U.S. dollars, how are you going to think about the impact of that on your reported numbers in FY '26? I mean should we be expecting maybe a few percentage points of headwind from FX and -- or do you think that you can offset that through better operations from TI?
William Elliot: Thanks for the question, Roger. So just to be clear, our guidance that we provide is all in constant currency. So the guidance ranges are in constant currency, not in AUD. And you're right, there is a headwind from an FX perspective at the moment across multiple currencies. The impact for us is about 3% to 4% of a headwind in the second half, which would be an overall 2% difference between our constant currency growth for FY '26 and Australian dollar growth for FY '26. That's the impact if the currencies stay where they're at today.
Roger Samuel: Got it. And in terms of your AI strategy, so you mentioned about integration with ChatGPT. But yes, just wondering, looking forward, you're not concerned that the eyeballs would divert from -- directly to your website or your apps into ChatGPT in the long term?
William Elliot: If you look at our audience, Roger, in terms of the growth in unique audience over the last 6 months, it's been the strongest I've seen it for a very long period of time, and that goes to two things: improving our consumer experience and investing more in our brands and marketing. And we're going to continue to do that over time. And so we're really happy with the amount of traffic that we're getting directly, but we're not resting on our laurels. We're continuing to improve that consumer experience, which hopefully comes through in the presentation. We need to be connecting with consumers from a research perspective at the top of the funnel, like I said, that we do with traditional search engines, and that's why we're integrating with LLMs.
Roger Samuel: Got it. Okay. And maybe just a last question on Encar. So you've launched Guarantee++. Perhaps you can give us an indication of what's the yield from that product? I mean we understand that the Guarantee ad right now is 5x the yield of standard. So it's Guarantee++ is a lot more than that?
William Elliot: No worries. I'll hand over to SB to ask that question on Guarantee++.
Sangbeom Kim: As you might be aware of Guarantee++ is still at the early stage of the product. So we did a pilot last year, and we are in the process of [ resigning ] in this year to make it adapted in different geographic locations. But the cost-wise is about 10% to 20% higher, but the pricing is roughly about 30% to 40% higher than the Guarantee 1.0. So we still believe it's much more profitable than the Guarantee 1.0. And also going forward, if we are able to secure that economy of scale or the synergy effect between existing branches and Guarantee 2.0, probably the yield will be improving over the period of time as well.
Operator: The next question comes from Siraj Ahmed with Citi.
Siraj Ahmed: I have 3 questions as well. Just first one, Will, in terms of guidance for the full year in constant currency, first half essentially came towards the top end, right? Anything in the second half, why it shouldn't be -- why full year doesn't come to the top end as well? Anything that moves from a regional perspective?
William Elliot: Thanks, Siraj, for the question. Obviously, the momentum of the business is excellent. And so we feel confident delivering within our guidance. Clearly, we've performed closer to the top end in the first half, which is great, and we'll be targeting to do that in the second half as well.
Siraj Ahmed: Second thing, maybe, Will, on TI, 13% growth, which is a great outcome. I guess, previously, you thinking about mid-teens, right, through the cycle. Just is it essentially dealer growth that's pulling that back? Or is there anything else when market normalizes that this could actually be above 15% as well?
William Elliot: I think that's probably a good one for David to answer just on any changes as macro continues to improve.
David McMinn: Yes. Thanks, Siraj. I mean, look, we're guiding to, as you know, 12% to 14%. I was really happy with 13% half 1. In terms of the key drivers of that, obviously, yield obviously plays a role with 4%. Our product was important. So our premiums as well as our digital agency product continues to flourish in this market, along with our media business, which is really nice to see that growing rapidly. And then combined, SSI and our acquisitions in marine sort of gave us about 3%. We will get an improvement in half 2 because of the rate timing, but we'll continue to invest that money as it relates to our rec brands as well as marine as the season picks up.
Siraj Ahmed: Got it. Just last one. The Slide 15 is pretty -- that's a great slide, Will, in terms of AI, right, and the integrated ecosystem. Just wondering, from a regional perspective, are there any markets where you actually need to step up in terms of the integrated ecosystem? Just asking because general view is that TI needs more work and you have made progress. But just keen to hear your thoughts on just a regional perspective where you can actually make a bit more investment and be better.
William Elliot: No, Siraj, it's a good question. And obviously, we think about it carefully in every market because they all have nuance and each of them has different strength in terms of their integrations into the ecosystem. Clearly, one of the strategic moves I mentioned at the start was acquiring a small CRM business that operates in the verticals that we have in the U.S. And that is quite strategic in terms of giving us access to the additional layer of data with our customers because it's a leading CRM in the verticals in which we operate. And so I think that will only strengthen the U.S. ecosystem. But outside of that, as you say, we've done a lot of work on making sure that we're integrated with both dealers, OEMs and all sorts of other platforms to make sure that we're delivering insight and data that others can't replicate. And so I think the U.S. is strong and will be strengthened by that acquisition.
Operator: Your next question comes from Fraser McLeish with MST Markets.
Fraser Mcleish: Will, just two for me. And I guess both of them around the sort of whole AI sort of risk issue that's sort of dominating market thinking at the moment. Just the first one, just on the sort of, I guess, robustness maybe of the commercial model, particularly the leads-based commercial model, if there is a bit of audience and inquiry leakage maybe at the margins, but going to AI to other platforms, given that you do charge price in some markets on a lead basis. And then the other one was just unique listings, I guess, are going to be increasingly important, which you have in private, I guess. Can you just talk about to what extent your listings, particularly in private could be considered unique?
William Elliot: Thanks, Fraser. Good question. So in terms of the lead model, I think the reality for the lead model is we could charge in different ways. And as we do in some of our markets, we have leads and others, we don't. And I don't think it makes a huge difference. The one thing I'll say is we're very confident in our ability to continue to deliver the vast majority of our traffic directly through creating a great consumer experience and investing in our brand. The quality of the leads can change from time to time. So one of the things Eduardo was talking about before is if we're making our leads more valuable because they're converting at a better rate, we can always charge more for our leads as long as they're delivering great outcomes for our dealer customers. Then in terms of your question around unique listings and the impact of private, one of the major competitive advantages that we've had for a long period of time is having a mix of private and dealer inventory, and we do that as well as anyone in the world from a vehicle marketplace perspective. And I think where we're seeing LLM models start to become more prevalent, that's only going to continue to cement our competitive advantage having that very depth of inventory.
Operator: Your next question comes from Lucy Huang with UBS.
Lucy Huang: I got three questions as well. Just the first one on AI. Sorry to ask another one, but just wanted to get your thoughts on pricing power, I guess, in the environment of all the AI innovation that you're putting through? Like do you think over the medium term, you can monetize that through higher price rises or is it getting customers to take on more premium products that have better AI features -- just to kind of think about how you're thinking about monetization of the AI features that you're launching?
William Elliot: Thanks, Lucy. In terms of AI product and pricing power, I suppose we don't think about those products as any different to any of our other products, in that if we're creating substantial value for our customers, whether that's private sellers, buyers, dealers, OEMs, then price will follow. So what we're focused on is making sure that the products that are supported with AI that they're delivering very strong outcomes. And I think I mentioned earlier in the call that we're seeing incremental revenue from these products that are supported by AI already, whether that's lead nurturing, whether that's some of the merchandising and sourcing products that we've got in market in Australia and the U.S. or the guaranteed inspection product that's been materially improved with AI. So we're monetizing already. We think it's only the beginning.
Lucy Huang: Yes. No, that makes sense. And then just on TI, so with the pricing restructure to the 3 tiers: Core, Pro and Ultimate, are you going to talk through the split or which are most customers landing on at the moment? And how do we push the customers up the tiers over time?
William Elliot: Thanks, Lucy. I might hand that one to David just to talk through the repackaging.
David McMinn: Yes, good questions there. Look, as you just articulated, we rolled out the packages from October, November into December. They went live in Jan. We've got Core, Pro and Ultimate. They're simple to understand. It's a lot easier rate card. We built the price rise into it this year, which was nice. We added a bunch of new products that we articulated earlier on the call that are finance integration, history reports and AI stock selective advice stronger conversion as well as call transcripting, which is super helpful for dealers. It's early days because it's only just gone live, but it's going well. And in terms of moving forward and where we see it as being super valuable is, we can now demonstrate value in a lot clearer way, okay? So if someone's upselling, we're going to be able to speak to them about what they need to pay and what the response is going to be to move up that journey on the latter. And the same goes for downgrades. So in the past, because our model was only really subscription with thousands of ala carte products, it was very, very easy for dealers when things are not great to just peel off things that they didn't see as value driving such as branding. So we think that it's a great foundation. We're well set and simpler for our people, and it's also clearer for customers.
Lucy Huang: That's super helpful. And then just one last one. Are you able to talk through Australian private trends, like how volumes have trended through the half and whether dynamic pricing is lifting to offset that? Because just noticed that it was called out that IO was probably the bigger driver of yield growth in private in the last 6 months.
William Elliot: Thanks, Lucy. I'll get Craig to answer that question on the private trends in Australia.
Craig Fraser: So we're still seeing a continuation of a shift from private inventory to dealer. And our IO business has performed very well in the first half. In terms of dynamic pricing, that's working really well for us. And what we're also seeing is a lot more value creation in our packages as we really double down on our C2C environment, but we are definitely seeing a transition from private inventory over to dealer, and that's been a trend over the last 18 months.
Operator: Your next question comes from Bob Chen with JPMorgan.
Bob Chen: Just a quick one, firstly, on margins. Obviously, your guidance suggests that the margin compression here this year with a lot of investment going on in North America and Korea. Do we expect to get through that this year and go back to a phase of margin expansion into the following years?
William Elliot: Yes. Thanks, Bob. I won't provide specific margin guidance for next year. But you're right in terms of there have been some specific things that we've invested in this year, which have led to that small gap between revenue and EBITDA growth. I'd like to think that going forward, we're still delivering underlying operating leverage in our business. And that hasn't changed, and we still think that, that's going to be there going forward. And so should we not invest in those things to the extent that we have over the next 1 to 2 years, then I would expect to see revenue and EBITDA to grow more closely in line.
Bob Chen: Okay. Great. And then just on, obviously, a lot of talent around AI and that investment in AI. It seems like it's all very well controlled in your current cost envelope. Like how should we be thinking about the incremental margin of these AI product enhancements and revenue that's sort of coming through? Does it track broadly similar to what you've historically done? Or is there actually maybe an accretive nature to some of these AI investments, given it's really sort of accelerating some of these new products you're coming into market with?
William Elliot: No, it's a good question. We're very excited about the product evolution. And one thing in the last 6 to 12 months that you can see the amount of product we're releasing to market is growing, and that's off a fairly similar cost base. And so I think that just goes to the amount of product that we're getting through. And so that will give us the opportunity to monetize even more as we go forward. I think the other thing I mentioned is the benefits that we're getting at the moment and the efficiencies we're getting from AI around code development, customer service and other automation is being reinvested back into AI product development, including in CG lab, there is the potential for us to get some benefits if we were to choose to not reinvest all those efficiencies. But at the moment, the right call is for us to continue to accelerate our product.
Bob Chen: Yes. Okay. Perfect. And just more broadly, I guess, from all that risk around AI and what people are sort of concerned about, I mean, have you seen anything from a competitive front, new sort of interesting sort of models coming in or competition coming in, leveraging native AI technologies that you do see as a bit of a risk or a threat for your business?
William Elliot: Thinking about this issue isn't new at all for us, Bob, because we've been thinking about competition all the time, and that's the competitors in front of us, and it's the ones that you don't see. And so I think I mentioned before, our economic moat is very strong. We've been very critical to the whole ecosystem around vehicles for a long period of time. And then we're also making moves to even strengthen that further, including some of those strategic acquisitions I mentioned earlier. And so we've made a long-term deliberate strategy of making sure we're right at the heart of that ecosystem. Nothing has changed in the last 12 months. If you look at our unique audience, I think I mentioned before, I've never seen that as strong as it is currently, which is a testament to those investments that we've been making.
Operator: Your next question comes from Tom Beadle with Jarden.
Thomas Beadle: I've got a couple of questions, please. Just firstly, maybe a follow-up from Roger on the Guarantee++ product. I'm probably asking the same question in a different way maybe. But I'm just -- can you just help us frame that opportunity, please? So for example, if you just get -- move from that current penetration of guarantee from 59% to that aspiration that you have for 50% guaranteed, 30% Guarantee++, what revenue uplift would that mix shift provide? Do you want me to ask my second question or...
William Elliot: Maybe we'll get [ Espeter ] answer that one first. Thanks, Tom.
Unknown Executive: Sure. I'm afraid it's very hard to pin out the specific number, how it will be. But if we take a step back and looking about the role of Guarantee 2.0 in our existing business, it is a kind of bridge product between the Guarantee 1.0 and our home services, which is one is transaction model, right? So if you remember that home services, our average revenue per vehicle transaction is around $200, while Guarantee 1.0 is about $100, Guarantee 2.0 will be located in between to do that. I think it will help us to be increase the transaction volume based on the wider and deeper inspected information and the customer will feel more comfortable to buy the car via us. But at the same time, it is still the advertisement model. So it can guarantee the base revenue stream, even in the case that the transaction is not happening. So instead of specific number, I mean, I would help you to understand how that product is located in our strategic journey.
Thomas Beadle: That's helpful. Just a second question on the cost side of things. I mean they probably came in a little bit higher than expectations in the first half. And I mean, I guess if we park the AI investment to one side, generally, what are you -- are you seeing any cost pressures in the business that are worth highlighting? I mean there's talk of general cost inflation at tech companies, things like cloud hosting costs are up 10% to 15% year-on-year potentially. I mean anything to highlight there, things like employee costs?
William Elliot: No. Thanks for the question, Tom. Nothing's changed from that perspective in terms of any change in sort of cost trajectory. I think the only two things we called out for the reason where revenue is a little bit higher than EBITDA and it's marginal at best was the investment we're making in Marine in the U.S. and the investment we've made in branding in South Korea, particularly with respect to the Dealer Direct product. They're the two key things. And outside of that, cost base is in good shape. And I think the investments we're making are generating a good return on investment. I think that's -- we've got probably time for one more question. I'm not sure if you've got one more, Tom, I'll hand back to the operator for one more.
Operator: We'll take one more question from Nick Basile with CLSA. We'll take one last question from Sriharsh Singh with Bank of America.
Sriharsh Singh: Just one question from my side, following up from Siraj's previous question in U.S. I think most of us understand the platform moats in markets like Australia, Korea and Brazil pretty well, given unique inventory guarantee ad product and finance integration. Just on the U.S. market, do you see like -- one of the investor concerns is [ Claud ] launching, a direct plug-in for dealers and OEMs so that they can load the inventory into the LLMs. Do you see that as a risk because the inventory in U.S. is not as unique as it relates to new items, dealer led? Or -- and how do you plan to enhance your competitive moat in the U.S. in the coming year?
William Elliot: Thanks for the question, Sriharsh. I don't see our competitive moat or dynamics in the U.S. is different to any of our other markets in terms of our integrations with dealers and OEMs. Clearly, I've mentioned before the move we've made around acquiring a CRM business, which I think only strengthens that moat further. Our brand in the niche verticals that we operate in is very strong. We deliver significant audience advantage versus our nearest competitor. And the things we're focused on is just creating an amazing consumer experience and making sure we invest in our brand. So we're very pleased with how everything is going.